Operator: Greetings and welcome to the Newpark Resources First Quarter 2019 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Ken Dennard. Thank you. You may begin.
Ken Dennard: Thank you, operator and good morning everyone. We appreciate you joining us for the Newpark Resources conference call and webcast to review first quarter 2019 results. With me today are Paul Howes, Newpark’s President and Chief Executive Officer; Gregg Piontek, Chief Financial Officer; and Matthew Lanigan, President of the Mats Business. Following my remarks, management will provide a high level commentary on the financial details of the first quarter and outlook before opening the call to Q&A. Before I turn the call over to management, I have a few housekeeping details to run through. There will be a replay of today’s call. It will be available by webcast on the company’s website at newpark.com. There will also be a recorded replay available until May 9, 2019, and information to access that replay is included in yesterday’s release. Please note that the information reported on this call speaks only as of today, April 26, 2019, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of replay listening or transcript reading. In addition, comments made by management during this conference call may contain forward-looking statements within the meaning of the United States federal securities laws. These forward-looking statements reflect the current views of Newpark’s management. However, various risks, uncertainties and contingencies could cause Newpark’s actual results, performance or achievements to differ materially from those expressed in the statements made by management. The listener is encouraged to read the annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K to understand certain of those risks, uncertainties and contingencies. The comments today may also include certain non-GAAP financial measures. Additional details and reconciliation to the most directly comparable GAAP financial measures are included in the quarterly press, which can be found on Newpark’s website. And now with that behind me, I’d like to turn the call over to Newpark’s President and CEO, Mr. Paul Howes. Paul?
Paul Howes: Thank you, Ken, and good morning to everyone. Although the market softness and the international contract transitions in fluids had a greater-than-anticipated impact on first quarter results, we remain encouraged by our operational execution and continued commercial success in new markets. First quarter consolidated revenues were $211 million, representing a 15% decline from our strong fourth quarter results. In Fluids, revenues pulled back across all regions, resulting in a 10% sequential decline. In North America, revenues declined 4% sequentially to $116 million, reflecting the impact of the softer activity levels in the U.S. and the lack of the typical seasonal improvements in Canada. The decline in U.S. land was partially offset by the startup of two deepwater projects in the Gulf of Mexico. Meanwhile, international relevant news declined 21% sequentially, primarily reflecting the impact of the contract transitions in Algeria and Brazil and project delays in Eastern Europe as discussed on last quarter’s call. Despite sequential margin improvements in our U.S. business, segment operating income was negatively impacted by the softer revenues as well as the inherent cost inefficiencies that result from the contract transitions and project delays. In addition, the first quarter included $1.1 million of charges associated with the retirement policy modification and employee severance, resulting in a 2.4% segment operating margin. As we look forward to the remainder of 2019, we continue to believe that Q1 will serve as an inflection point with respect to segment revenues and operating margins as we expect both to improve going forward. Aside from Canada, we expect activity to increase from Q1 levels, benefiting from the impact of new contract awards and stabilizing commodity price outlook. I am pleased to note that our work with Shell Oil was recently expanded to include fluids work for an additional deepwater drillship in the Gulf of Mexico. This work is expected to begin in the second quarter and continued into early 2020. Internationally, we also received a new award from ENI to provide drilling and completion fluids as well as related services in Italy, covering a 3-year term. Work under this contract is expected to start in the second quarter and generate $10 million to $15 million of revenue per year. Turning to the Mats segment, we continue to be pleased with the consistent operational execution and steady progress in our diversification strategy. First quarter revenues were $51 million. As we highlighted in last quarter’s call, we anticipated the pullback from the record level of direct sales we enjoyed in Q4 which benefited from high year-end demand. Notwithstanding this sequential decline in revenues, the segment delivered 27% operating margin which benefited from a favorable revenue mix, disciplined cost controls and our ongoing efforts to focus on opportunities that provide stronger returns, particularly given the tight U.S. labor market. And with that, I’d like to turn the call over to Gregg to discuss the financial details of the quarter. Gregg?
Gregg Piontek: Thanks, Paul, and good morning, everyone. I’ll begin by covering the specifics of the segment and consolidated operating results for the quarter, followed by an update on our near-term outlook. The Fluids Systems segment generated total revenues of $161 million for the first quarter of 2019, reflecting a 10% sequential decrease and a 9% year-over-year decrease. In the U.S., revenues were $103 million, down 3% sequentially on a 3% decrease in U.S. rig count. As Paul touched on, we’re seeing meaningful progress penetrating the deepwater Gulf of Mexico market which contributed a $4 million sequential revenue increase, benefiting from the startup of the Shell and Fieldwood projects. This improvement, however, was more than offset by market softness impacting U.S. land markets with Oklahoma showing the most significant decline. On a year-over-year basis, U.S. revenues have increased 11% from Q1 of 2018, modestly favorable to the 8% improvement in average rig count over the same period. In Canada, revenues were $13 million for the first quarter, reflecting a 12% sequential decline, largely reflecting a pullback from our Q4 market share gains as the market rig activity improved by 2% sequentially. On a year-over-year basis, Canada revenues declined by 43%, which compares to a 32% reduction in industry rig count. Although our market share is relatively in line with prior year, the first quarter of 2018 revenues benefited from significant levels of Fluids losses, which did not recur this year. Outside of North America, revenues from our international regions totaled $44 million in the first quarter, down $12 million from prior quarter levels. As discussed on our fourth quarter call, the sequential revenue decline is largely attributable to the transition to the new contract in Algeria and the conclusion of the Petrobras contract in Brazil which, combined, contributed $8 million of the sequential revenue decline. The remainder of the sequential decline is primarily attributable to project delays in Eastern Europe, impacted by the weakness in commodity prices at the end of 2018. On a year-over-year basis revenues from our international regions declined by $18 million, largely reflecting the contract transitions in Brazil, Algeria and Kuwait as well as a meaningful decline in Eastern Europe. As we discussed on last year’s call, our Eastern European business had an extremely strong Q1 of 2018, benefiting from a large customer project as well as product sales to a large integrated service company in support of their offshore project with Total. With a $17 million sequential decline in revenues, the Fluids segment operating income declined to $4 million for the quarter. As Paul touched on, although we are seeing benefits from our margin improvement efforts in the U.S., the first quarter operating margin was negatively impacted by the lower revenues as well as an unfavorable revenue mix and inherent cost inefficiencies associated with the contract transitions and project delays in international markets and the slowdown in certain North American markets. Also, as highlighted in yesterday’s press release, the first quarter included $1.1 million of charges. Turning to the Mats business, as Paul touched on, consistent with our outlook discussed on the fourth quarter call, total segment revenues were $51 million for the first quarter, representing a 27% sequential decline and a 2% improvement year-over-year. The sequential decline was largely driven by lower direct mats sales which came in at $8 million for the first quarter. Meanwhile, rental and service revenues declined to 8% sequentially to $43 million, largely attributable to a decline in service activities in the E&P market while non-E&P revenues have remained fairly stable. Comparing to the first quarter of last year, the 2% improvement in revenues includes a $3 million improvement in rental and service, partially offset by a $2 million decline in direct mats sales. The 7% year-over-year improvement in rental and service revenues is driven by our ongoing diversification efforts and reflects growth in both E&P and non-E&P markets. The Mats segment operating margin was 27% for the first quarter compared to 30% for the fourth quarter and 24% for the first quarter of last year. The first quarter operating margin was stronger than anticipated largely due to a favorable revenue mix, disciplined cost controls and as Paul touched on, a focus on operating efficiency and higher returning projects. Now turning to our consolidated results, first quarter 2019 revenues were $211 million, representing a 15% decrease from prior quarter and a 7% decline year-over-year. SG&A costs were $31 million in the first quarter compared to $30 million in the fourth quarter and $27 million in the first quarter of last year. First quarter SG&A includes the $4.5 million of charges associated with the retirement policy modification and employee severance costs, while the fourth quarter included $1.5 million of employee severance charges. Adjusting for these charges, the net reduction in SG&A expense in the first quarter is primarily attributable to lower performance-based incentive expense and the benefits of cost optimization efforts, partially offset by higher costs related to strategic planning initiatives. Total corporate office expenses were $11.7 million in the first quarter, which includes a $3.4 million charge associated with the retirement policy change. Excluding this charge, corporate expenses were down modestly from the $8.5 million in the fourth quarter and $8.7 million in the first quarter of last year. Interest expense was $3.7 million for the first quarter compared to $4.2 million in the fourth quarter and $3.3 million in the first quarter of last year. The sequential decrease in interest expense is attributable to the $500,000 charge for additional interest on our convertible bonds as discussed last quarter. Consistent with prior quarters, the first quarter interest expense includes approximately $1.4 million of non-cash expense primarily associated with our convertible bonds. The provision for income taxes for the first quarter was $1.8 million, reflecting an effective tax rate of 58% which compares to 32% in the fourth quarter and 30% in the first quarter of 2018. The elevated tax rate in the first quarter is primarily attributable to certain discrete tax adjustments which have an exaggerated impact on the quarter’s rate due to the relatively low level of pre-tax income in the period. Net income for the first quarter was $0.01 per diluted share, which includes a $0.03 negative impact from the retirement policy modification and employee severance charges. By comparison, net income for the fourth quarter was $0.11 per diluted share and $0.08 in the first quarter of last year. Turning to cash flow, following a very strong Q4 in terms of operating cash flow generation, the first quarter cash flows were negatively impacted by the payment of annual cash incentives as well as a temporary uptick in days sales and receivables. First quarter cash provided by operating activities was $2 million which include $17 million of cash from operations, largely offset by a $15 million net increase in working capital. Cash used in investing activities was $16 million in the quarter with nearly 2/3 of our capital expenditures directed to the Mats business. Cash provided by financing activities totaled $12 million, largely reflecting the $19 million net increase in bank facility borrowings, partially offset by $5 million used during the quarter to purchase shares under our repurchase program. As announced last month, we recently amended our asset base loan facility, which expanded the revolving loan capacity from $150 million to $200 million, increasing our available liquidity while also reducing applicable borrowing rate, extending the term and relaxing certain covenants. This amendment provides us with greater flexibility to fund the 2021 maturity of our convertible debt and execute on our long-term strategy. We ended the quarter with a total debt balance of $182 million and a cash balance of $54 million, resulting in a total debt to capital ratio of 24% and a net debt to capital ratio of 18%. Substantially all of our cash on hand remains with our foreign subsidiaries, although we plan to continue repatriating excess cash back to the U.S. Now turning to our near-term outlook, in the Fluids business, while we expect Canada to experience the seasonality associated with spring breakup, we expect this pullback should be more than offset by improvements in the U.S. and the Eastern Hemisphere. In the U.S., we expect land revenues to continue to track fairly closely to the overall market rig count while we expect our deepwater Gulf of Mexico revenues will continue to improve sequentially, benefiting from the continuation of projects started in Q1 and the additional deepwater rig with Shell. Meanwhile, in the international market, with the strengthening commodity price outlook and the new KOC contract now underway, we expect to see our Eastern Hemisphere revenues recovered to levels more in line with the previous quarter despite the continued transition in Algeria. From a Fluids segment operating income perspective, we expect the anticipated rebound in revenues, combined with our ongoing margin improvement efforts, will drive the segment margin in the near term, back above the mid single-digit mark. In the Mats segment, we continue to focus on expanding our presence in targeted non-E&P end markets, which we believe will continue to provide improved stability to both segment and consolidated performance over time. Although the timing of direct sales and project start date is always a bit challenging, we currently expect total Q2 segment revenues to be in the low to mid-50s range, generating an operating margin in the low to mid-20s range. As Paul will discuss further in a moment, we have recently initiated our latest long-term strategic plan update, a process that we undertake every 3 to 5 years. As a part of this process, we have engaged consultants to assist in the development of our long-term strategic plan, and we expect to incur approximately $1 million to $2 million in corporate office expense next quarter associated with this effort. Also, although the recent change in our retirement policy is expected to impact the timing of cost recognition related to future long-term incentive awards, we don’t expect this to have a meaningful impact to Q2. Regarding cash flow, we expect the first quarter change in working capital to reverse directions in the second quarter, and we also expect capital expenditures to decline somewhat from Q1 levels, which should positively impact our free cash flow generation. Although the first quarter CapEx in the Mats business was elevated, our full year capital investment expectation remains in the $40 million to $45 million range. We expect the majority of our 2019 investments will support our market diversification and R&D initiatives in the Mats business. As discussed last quarter, we believe the most significant variable in our 2019 CapEx expectation is the timing of investments needed to support the mats rental business which will continue to flex based on near-term outlook. Finally, regarding our tax rate, we expect our effective rate will be in the low to mid-30s for the remainder of 2019. And with that, I’d like to turn the call back over to Paul for his concluding remarks.
Paul Howes: Thanks, Gregg. In summary, while we were not satisfied with the Fluids margin in the first quarter, we also recognize that the majority of the transitory issues are now behind us. We continue to be encouraged by the improving commodity price outlook and the broad-based impact this is expected to have on activity levels both in North America and internationally. The latest award with Shell Oil in the deepwater Gulf of Mexico is yet another milestone for Newpark, demonstrating our ability to deliver value-added solutions in one of the most challenging drilling environments in the world. We intend to leverage that commercial and technical success with other IOCs operating in the Gulf of Mexico as we look forward to providing both drilling and completion fluids. In the near-term, in addition to the ongoing margin and capital efficiency improvement efforts, we remained focused on executing the key elements of our total fluid solution strategy. Last quarter, we highlighted that our deepwater completion fluids facility in Louisiana is fully operational. This is a key element of our broader strategy in the Gulf of Mexico, enabling us to now offer drilling and completion fluids, which not only expands the revenue potential in each project but also provides a value bundle that customers in the deepwater markets are seeking. While 2018 was the year to establish our presence in deepwater, 2019 is the year to build on our success, and as the first quarter demonstrated, we are off to a very good start. Another element of our total fluid solution strategy is the expansion into stimulation chemicals. In the first quarter, we completed a successful trial of our stimulation chemicals with a major operator in the U.S. land business, which we mentioned on the fourth quarter call. With the successful trial, we are finding opportunities to expand discussions with additional potential customers. While we are pleased with the overall level of customer interest, we continue to expect our entry into the stimulation chemicals market to take some time before making any meaningful contribution to our bottom line. Based on our progress and discussions to date, we remain confident that we will succeed in penetrating this important market by demonstrating our differentiated technology and service capabilities, just as we have done in the drilling fluids. Before leaving the Fluids segment, I’d like to provide you with a quick update on the progress related to our ongoing search for a permanent leader of that business. Over the last several months, we have worked diligently to identifying and screening a pool of qualified candidates for this important role. We have been very pleased by the caliber of the candidate pool, and we are now advancing through the final stages of the selection process. In our Mats business, we see opportunities for continued growth as we progress through 2019. We are realizing the benefits of our market diversification strategy while also continuing to invest in R&D, developing next-generation systems and expanding our product offering. And to that point, last quarter, we highlighted our modular above-ground storage tank or AST, which demonstrates our innovative approach to solving our customers’ challenges related to water storage. I am proud to announce that we have now deployed our first system with a major operator in the Permian, and we are advancing discussions with other customers that are recognizing the value proposition of this innovative solution. Although not expected to be a major source of revenue in 2019, the AST demonstrates our ability to engineer solutions for a wide array of customer applications. Now turning our attention to our long-term strategic planning initiative that Gregg mentioned a moment ago, as many of you know, strategy has always been an important underpinning of our success. Our business priorities and direction have been grounded in a well-defined long-term strategy. Every 3 to 5 years, we take a fresh look at our long-term strategy, which includes an extensive valuation of the changing market climate, assessment of our core capabilities and the identification of risks and opportunities, all culminating in a well-defined plan that we will execute against over the next 3 to 5 years. Since our last long-term strategic planning exercises in 2015, we’ve seen meaningful changes in the market landscape, and we’ve made significant progress in our efforts to strengthen and diversify our company. With the transformation that is underway at Newpark, we’ve recently initiated our latest strategy update, which we anticipate will take approximately 6 months to complete, engaging outside consultants to assist us in assessing our long-term strategy for each of our business segments as well as at the corporate level. On the Mats side of the business, we will explore opportunities to further expand revenues in our industry verticals while maintaining returns across the business. In Fluids, we will evaluate how the changing oilfield landscape is reshaping the Fluids industry as we look to further execute our total fluids solution strategy. Our goal at Newpark remains the same, to maximize long-term shareholder value by driving growth and consistent fee and cash flow generation while improving our return on invested capital. I look forward to reporting the results of this long-term strategic planning effort when the process is complete. With that, I’d like to close the call as I always do by thanking our shareholders for investing in us and thanking our employees for their hard work and dedication to Newpark as well as their continued focus on safety. We’ll now take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Praveen Narra with Raymond James. Please proceed with your question.
Praveen Narra: Hi good morning guys. I guess if we could start on the Fluids side, obviously, it seems like international has some excess cost and but I wanted to focus on the U.S. side for a second. You mentioned that U.S. profitability improved sequentially. Would that profitability improvement due to the mix shift with the Gulf of Mexico work starting? And if or is there anything else going on there? If you could, can you talk about the discrepancy between the U.S. and international profitability for that business plan?
Gregg Piontek: Sure. Sure. Praveen, this is Gregg. I’ll take that one. Yes, in terms of the profitability here in Q1, the big drag was the international work and the transition and dislocation that you have, which causes some inherent cost dislocation there. Within the U.S., we had been talking about our cost efforts that we had been taking really in the second half of 2018. And that’s where we’re starting to see the benefit of that as well as, as you point out, starting to see the benefit of that deepwater work picking up pace, and that’s providing some natural benefit to it. The other challenge that we had in the U.S. market was while the rig count was down fairly modestly, you look at that decline and it’s very concentrated in one area, in particular Oklahoma, and that’s a region that’s down 25%, 30% from the fourth quarter levels in terms of the market rig count. So that’s another area that caused a bit of a dislocation to us in the cost side.
Praveen Narra: Okay. That’s helpful. And then if we just touch on the mats, guidance for a second. You mentioned kind of coming you mentioned 1Q benefiting from a bitter mix in terms of some services versus rental sales. If we think about the 2Q guidance, is that change just the normalization of those? Or I guess how do we think about what the proper mix between those was and how 1Q compared to what you consider normalized?
Gregg Piontek: Yes, Gregg again. In terms of the mix favorability that Paul had touched on, a little bit of that is intentional. We talked about specifically focusing on some of the areas of higher returns and therefore, pulling back on some of the service activities. But even within that, you also have some natural variation within your product sales and rental activities that change the profitability profile. And on that side, the quarter was a little bit stronger than it typically is, and we expect that will normalize a little bit more here in Q2. And that’s part of the story as to why we expect the margin profile to pull back a little bit from what the Q1 result was.
Praveen Narra: Okay, perfect. If I could squeeze one more in just on Brazil. In terms of Brazil, there was a contract to work with one of your peers. So, I guess I was curious on to how you think about the cost you guys are holding down there and just the outlook for that region.
Paul Howes: Sure. Yes. As we roll off the Petrobras contract, we rightsized the organization down there but maintained an operational presence for the deepwater work. And as you know, we’ve done probably a majority of the deepwater drilling there with Petrobras in a lot of the IOCs. We see more opportunities there. Obviously, the Shell Oil contract award to one of our peers happened, but there’s a lot more opportunities out there for us as well.
Praveen Narra: Okay thank you very much guys.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Matt Dhane with Tieton Capital Management. Please proceed with your question.
Matt Dhane: Thank you. I was hoping you could discuss how you’re viewing the international opportunities today and put it maybe in reference to how they’re lining up compared to 6 months ago. That would be helpful.
Paul Howes: Okay, sure. International opportunities versus 6 months ago, we certainly are seeing a lot of tender activity. I would say a lot of that is concentrated in the Middle East right now as a fairly strong area and a lot of tendering. We are seeing more tendering, I would say, also in the deepwater offshore Brazil market. Those seem to be the 2 stronger global regions. Gregg, anything that you could add?
Gregg Piontek: Yes. I guess I would your question about how that frames up versus 6 months ago. As we’ve progressed through 2018 where we were seeing this continued strengthening in activity, the pullback in the commodity price at the end of ‘18 caused a lot of that to delay. There was, definitely some reservations from operators as we progressed in there to early ‘19. And now what we’re seeing is them begin to pick up pace and resume back to kind of how things were looking before that pullback.
Matt Dhane: And then on Shell, you won a new rig. And can you remind me, are you on 2 rigs now or is that the third rig that you are going to be on?
Paul Howes: Yes, we are currently operating on 2 rigs and we expect the third rig to start in the quarter.
Gregg Piontek: Yes. The 3 projects are in certain holdings.
Paul Howes: That’s a pretty major move for our corporation, right, when you’re in one of the most challenging drilling environments in the world and going head to head with the largest integrated service companies. And really, it’s gotten down to the fact that our technology is truly differentiated and our service quality is at par or better. So, we’re very pleased with our traction in the Gulf of Mexico. And again, our hope there is to be able to leverage that with other IOCs operating there.
Matt Dhane: And I’d assume the other IOCs obviously have noticed what you’ve won with Shell. I mean have you seen conversations really pick up in tenor and seriousness here recently then?
Paul Howes: Yes. I would say that the way the Gulf is structured the way it’s structured, a lot of the other IOCs are partners on those Shell wells, so they’re getting all the technical data as we speak and as we’re drilling. And I would say there’s been ongoing communication with all the major IOCs in the deepwater concerning our Kronos technology.
Matt Dhane: Congrats on the new Shell.
Gregg Piontek: Great. Thank you.
Paul Howes: Appreciate it.
Operator: Thank you. [Operator Instructions] We have completed our question-and-answer session. I will turn now turn the floor back to management for any final comments.
Paul Howes: Alright. Thank you once again for joining us on the call and for your interest in Newpark Resources. We look forward to talking to you again after the next quarter.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.